Operator: Good day, ladies and gentlemen. Thank you for standing by and welcome to the Fresh Del Monte Produce Third Quarter 2014 Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions). As a reminder this conference call is being recorded. I would now like to turn the conference to our host, Ms. Christine Cannella. Ma’am, you may begin.
Christine Cannella : Thank you, Eric good morning everyone. And welcome to Fresh Del Monte's third quarter 2014 conference call. Joining me today are Mohammad Abu-Ghazaleh, Chairman and Chief Executive Officer; and Richard Contreras, Senior Vice President and Chief Financial Officer. This call complements our third quarter 2014 press release, we made public this morning and you can find that release or register for future distributions by visiting our website at www.freshdelmonte.com and clicking on Investor Relations. This conference call is being webcast and will be available for replay approximately two hours after conclusion of this call. Before we start please remember that matters discussed on today’s call may include forward-looking statements within the provisions of the Federal Securities Safe Harbor laws. Forward-looking statements involve risks and uncertainties, which are more fully described in today's press release and our SEC filings. These risk factors may cause actual company results to differ materially. This call is a property of Fresh Del Monte Produce. Redistribution, retransmission or rebroadcast of this call in any form without our written consent is strictly prohibited. Let me now turn this call over to Mohammad Abu-Ghazaleh.
Mohammad Abu-Ghazaleh : Thank you, Christine. Good morning, everyone. I am pleased with our strong performance in the third quarter of 2014. Net sales for the quarter were $24 million higher year-over-year at $885 million. Gross profit increased 39% from last year’s third quarter and we generated EPS of $0.35 up from $0.11 a year ago. These results reflect strong operating performance in our banana business. This was primarily due to lower global industry supply during the quarter that helped by a 3% increase in banana selling prices. Today we are seeing a more balanced supply and demand trend in global banana markets and barring any unforeseen events the trend should remain through the rest of 2014. We experienced strong sales in our other Fresh Produce segment, especially in terms of higher sales volume of Gold Pineapple. We lead our industry in Gold Pineapple sales and we expect to maintain this commanding lead due to our superior fruit quality combined with brand awareness and our sales and marketing expertise. During the quarter we continued to develop our Fresh Cut business. We generated strong sales growth in the Middle East and we are in the process of adding a second Fresh Cut facility in Japan. We will soon be introducing our North America Fresh Cup product line in Canada which will include our recently launched protein salad and snack offerings. Also contributing to our strong performance was utilization of our sourcing flexibility and logistical expertise to maximize sales allocation to those markets with increased demand. Additionally low costs associated with shipping distribution packaging and agriculture supplies had a positive impact on profitability during the quarter. As we look to the end of the year while we experienced better banana market conditions year-over-year there are always challenges in our businesses. We foresee the headwinds of a difficult economic market in Europe and oversupply of fruit as well a result of sanctions in the Ukraine and Russia and logistical issues caused by the situation in the Middle East. We will continue to work hard in the knowledge we are building value everyday for our shareholders. At this point I would like to hand it over to Richard.
Richard Contreras : Thanks Mohammad and good morning. For the third quarter of 2014 we reported earnings per diluted share of $0.35 compared with earnings per diluted share of $0.11 in the prior year period. Net sales were $885 million compared with $861 million in the third quarter of 2013 and gross profit was $74 million compared with gross profit of $53 million in the prior year. In addition we reported operating income for the third quarter of 2014 of $29 million compared with $7 million in the third quarter of 2013, and net income was $20 million compared with $6 million in the prior year. I want to point out that for the third quarter of 2013 we reclassified a $1 million charge related to unfavorable litigation from the selling, general and administrative expense line to the asset impairment and other charges net line. In our banana business segment during the third quarter net sales increased $22 million to $424 million compared with $402 million in the third quarter of 2013. Overall volume was 2% higher compared with last year’s third quarter driven by increased sales volume in North America. Worldwide pricing increased 3% or $0.47 per box to $14.77, a result of higher selling prices in our regions and the benefit of favorable foreign exchange. Gross profit increased $21 million to $22 million compared with gross profit of $1 million a year ago primarily driven by higher selling prices and lower ocean freight and distribution costs. Total worldwide banana unit cost decreased 2% compared with last year’s third quarter. In our other Fresh Produce business segment net sales increased $5 million to $371 million compared with $366 million in the third quarter of 2013 and gross profit was incline with the prior year period. In our gold pineapple category net sales increased $15 million to $130 million compared with a $115 million in the prior year driven by higher sales volume in North America and Europe. Volume increased 22%, a result of favorable growing conditions in Costa Rica. Unit pricing was 7% lower and unit cost decreased 5%. In our fresh cut category net sales decreased $10 million to $96 million compared with a $106 million in the prior year due to lower sales in Europe, partially offset by increased sales volume and higher pricing in the Middle East and Asia. Volume decreased 12% primarily driven by a lower sales volume in the UK. Unit pricing was 3% higher with pricing gains in all over regions and unit cost increased 4%. In our melon category net sales decreased $1 million to $9 million compared with $10 million in the third quarter of 2013. Volume decreased 16%, unit pricing was 4% higher and unit cost was 9% higher. In our non-tropical category net sales decreased $1 million to $81 million compared with $82 million in the prior year. Volume decreased 7%, unit pricing increased 7% and unit cost was 4% higher. In our tomato category net sales increased $3 million to $25 million compared with $22 million in the third quarter of 2013. Volume increased 63%, pricing was 31% lower and unit cost was 25% lower. The increase in sales volume was a direct result of our new farms in Virginia. We are now focused in our upcoming Florida season. In our prepared food segment, net sales decreased $3 million to $90 million compared with $93 million in the third quarter of 2013. The decrease was primarily due to lower sales volume in our canned deciduous product line and decreased demand for canned pineapple in the UK. Gross profit was in line with the prior year period. Now moving to costs, banana fruit cost which includes our own production and procurement from growers increased 2% worldwide and represented 32% of our total cost of sales for the third quarter. Carton costs decreased 4% and represented 4% of our total cost of sales. Bunker fuel decreased 1% versus the prior year and represented 4% of our total cost to sales and ocean freight cost, which not only includes bunker fuel but also third party charters and fleet upgrading cost was 7% lower. For the quarter ocean freight represented 12% of our total cost to sales. As for foreign currency, the foreign currency impact at the sales level for the third quarter compared to the prior year was favorable by $5 million and at the gross profit level the impact was favorable by $10 million. Other expense net for the quarter was $4 million compared with other expense net of $200,000 in the third quarter of last year due to foreign exchange losses this year. At the end of the quarter our total debt was a $140 million. Income tax expenses were $4 million during the quarter compared with income tax expense of $2 million in the prior year period. And as it relates to capital spending, capital expenditures for the nine months ended September were $119 million. Capital expenditures for the full year 2014 are expected to be approximately $150 million. This now concludes our financial review we can now turn the call over to the operator to begin the question and answer portion of the call. 
Operator: Thank you. (Operator Instructions). And our first question comes from Brett Hundley of BB&T Capital Markets. Please go ahead. 
Brett Hundley - BB&T Capital Markets: Hi good morning everyone. 
Mohammad Abu-Ghazaleh : Good morning Brett. 
Brett Hundley - BB&T Capital Markets: Mohammed I wanted to go back to a statement you made in your prepared remarks about just the overall supply situation in the banana industry and you had talked about how things are more in line supply and demand right now but one of the things we’re seeing is a continuation of very solid pricing in spot markets and I'm just curious, I just want to get your thoughts on why you think banana pricing has continued to remain solid amidst supply and demand more closely matching is it something comparison wise from last year? Are you seeing something demand wise? Just want to get your overall thoughts there and I'm curious if you wouldn’t mind answering whether or not you think banana pricing in spot markets can remain favorable through the end of the year?
Mohammad Abu-Ghazaleh: Like I said the supply really compared to last year this time of last year I remember we have so much surplus at that time also and the competition that we have to dump into the markets be it Europe or the Mediterranean markets. And this year we don’t have the same kind of surplus that we saw last year. We do have a surplus but it’s manageable. As we speak the Mediterranean markets still even though we have so much complexities, especially in Iran, Iraq and all these markets but so far the markets has been holding well. Europe in particular in my opinion was a relation of maybe better let’s say allocation by all the players that we, in our case were not supplying in the markets more than what is needed. And as I said in my remarks we have allocated our fruit really to the market that there is better and we didn’t talk about market share or market need. So that is one of the reasons also why we see markets are better. As to your question regarding the rest of the year the market have softened little since four, five, six weeks ago, but I believe that hopefully that this -- the prices will still be favorable point going to the end of the year. So we will not see the same very bad negative results that we experienced in the fourth quarter of 2013.
Brett Hundley - BB&T Capital Markets: Okay. That's really helpful. And I think you made another good point about the Russian market closure and availability of fruit. I know Mohammed you’ve talked periodically about the viability of the European banana market overall. Is this something over the short-term or may even be more structural in your opinion but is this something over the short-term or long-term where you may want to get smaller in the European banana market, can you address that?
Mohammad Abu-Ghazaleh : No, I think it’s the wrong impression to think that Fresh Del Monte wants to be smaller in the European market. We want to maintain our share and we want stay and even get more bigger, let’s say presence in the market. But as I said we are not really to lose money just because of acquiring more market share or getting a bigger piece of the pie in that market. This market’s still in my opinion very weak, structurally they are not in the best condition and I don’t think that situation is going to improve on the contrary. We have been lucky that we have seen that pricing held well in the third quarter and hopefully will continue during the fourth quarter and we are entering the winter months, which is usually banana volumes are short and pricing is better because of non-competitive other fruits. But I don’t see that the European market in the long-term is going to be the price fall and don’t -- we have to also remember that the euro is getting weaker and this was also another very important point that we have to take into consideration. So I personally am not very optimistic in the European market long-term but being there for so many years and our presence there is very important because we don’t deal only in the banana. We have so many others items that we market there. So and we have other plans for the European market as well as going forward. So we -- our presence there is permanent and our share is not to be compromised.
Brett Hundley - BB&T Capital Markets: Understood. We've heard early indications of U.S. and Northern EU banana contract pricing be signed flattish year-on-year for 2015 and I'm just curious if you’re seeing and hearing the same things and kind of what your overall thoughts on this would be?
Mohammad Abu-Ghazaleh : Yeah, very true. I mean the price is in the contracting mode now in the U.S. North America has been flat and in some cases very minute increases which really does not cover the increase of course that we are getting today and as far as Europe is concerned as a matter of fact if you look at considering the euro strength and the attitude of the buyers of the super markets in Europe I think that the price has slightly eroded from what it used to be last year. So that's why I said I’m not so very positive on Europe long-term. But the short term we are okay but long-term I don’t think that we are going to face a lot of headwinds with that in this market.
Brett Hundley - BB&T Capital Markets: Okay. And I -- one other thing that I’ve been concerned about are these low sulfur requirements for shipping into the United States in 2015 and potential added cost for the industry. I'm hopeful that the industry will look to pass that cost on. Do you have any early read on whether or not these low sell through requirements will indeed be a headwind for you guys next year or whether you in the industry can manage that added cost next year?
Mohammad Abu-Ghazaleh : As we speak we believe that this is a very minimum and it does not have really a very big impact on our cost, when you look at it in general. And if it becomes really significant I think we need to speak to our customers and see what we can do there. 
Brett Hundley - BB&T Capital Markets: Okay and then just one last question I’ll jump in the queue. Mohammad I just wanted to get your overall thoughts from recent news on Chiquita and Fyffes not tying up together. I know this was something that we had hopes would help consolidate the industry somewhat and hopefully lead to more rational pricing, both at the supply level and at the freight level and I'm just curious your overall thoughts on this merger not happening and Cutrale indeed getting its target in Chiquita?
Mohammad Abu-Ghazaleh : I'm not -- I mean looking at this because everybody’s expectation was that if Fyffes and Chiquita joins up and become one company that the pricing could be more -- there could be a more sense and more rationale to the price but I'm not so sure about that to be honest with you because we are competitors and each has his market share and everybody wants to hold to his market share. And don’t forget the power of the -- buyers power and the supermarket club these days is so tremendous that even if you have more consolidation in the business unfortunately the buyer and the supermarket power is so significant that does not leave too much room for people like ourselves to decide what the price is and usually supply and demand determine that at the end of the day. So in either case be it Cutrale or be it Fyffes, I didn’t see much that can happen in that sphere going forward. So we’re competitive and wish that our industry could recover and have more rational pricing but at the end of the day also it takes two to come to that conclusion which is the buyer as well as the seller. So it’s not all in our hands, that’s the sad story. 
Brett Hundley - BB&T Capital Markets: All right thanks for your time. 
Operator: (Operator Instructions) And our next question comes from Jonathan Feeney of Athlos Research. Please go ahead. 
Jonathan Feeney - Athlos Research: Hi thanks very much. 
Mohammad Abu-Ghazaleh : Hi, Jonathan. 
Jonathan Feeney - Athlos Research: First question I want to talk a little about the prepared food segment. Could you talk -- maybe came in a little bit south where we were expecting. Is this a consumer issue, could you tell us a little -- I think you mentioned it a little bit, could you give us a little bit detail around that segment?
Mohammad Abu-Ghazaleh : Yeah, most of our sales goes into Europe. I mean the bulk of our sales are in Europe and Europe markets during 2014 as you know and we have just been saying that it’s been of late performing very poorly in the major markets like Spain or Italy or France and UK. So that’s one thing and the other thing is that we have been also facing some headwinds from Kenya because the Kenyan government did not reach agreement with the EU regarding the free duty from Kenya into -- especially on the pineapples and that has also affected us in the last 30, 40 days additional cost for our product, until this issue is resolved hopefully soon, within the next two or three months. So it’s not yet -- it’s not significant but it’s started to influence our cost and our net price, so in general it’s the European situation. 
Jonathan Feeney - Athlos Research: How about we then -- I mean has there been growth in the prepared foods business in the Middle East and you could do update us on your performance in the Middle East generally this quarter?
Mohammad Abu-Ghazaleh : Yeah there has been growth. I don’t know if Richard has any number. But that of course Middle East numbers compared to Europe, Europe is a very big market compared to the Middle East in prepared food in particular. But still it’s growing there but not enough to make that let’s say a big difference into the total picture. 
Jonathan Feeney - Athlos Research: Would you say that Middle East is less than 10% of the prepared food segment?
Richard Contreras : Yeah, Middle East is still -- it’s a lot of growth this year. It’s kind of almost 50% growth year-to-date but that’s not problem very small pace. 
Jonathan Feeney - Athlos Research: Great, thanks very much. Just two more; one on the -- could you update us on -- we’ve seen a lot of moves in currency in changes and asset prices could you update us on land values in around where you looked in the past as Costa Rica where your big land holdings are. I know there are times in the past three to four years where you’ve been active buying land if you could update us on what sort of those values are like I appreciate it?
Mohammad Abu-Ghazaleh : Well that is expensive I mean in Costa Rica it is expensive that’s the fact. It depends on where you look and there are some areas more expensive than other areas but on average the land in Costa Rica is expensive and it’s difficult as well to find new lands for expansion and that’s a very important factor, that it’s not the land is [inaudible], also just to find an enough land to put new projects as well as the government has made more difficult any new expansion in pineapples or bananas and in relation to environment implications and the new rules regarding the land use and the rivers and that’s keeping also a lid on growing and cross selling. So yes land is expensive and if we find that opportunity we’ll not hesitate. 
Jonathan Feeney - Athlos Research: But at the margin this year Mohammad as the dollar being strong some of the concerns about the emerging markets has there been any weakening in those land prices?
Mohammad Abu-Ghazaleh : No, the land goes up. Anything can go down except land in my opinion and that’s a phenomenon that we see in many parts of the world Jonathan. 
Jonathan Feeney - Athlos Research: Right and last question if you wouldn’t mind is you’re getting back to levels of where - that are -- you’ve always been a conservatively leveraged company but now you’re well below one-time’s EBITDA could you up, could you just give us or maybe it’s a pretty question for Richard an update on the priorities for utilization of cash over the next 12 month?
Richard Contreras : We’re very fortunate that we have strong cash flow so we continue to paying the dividend, we do stop purchases when offer tune and we’re always looking for acquisition so fortunately we can do all of the above. 
Mohammad Abu-Ghazaleh : Jonathan more importantly we spend that I mean we do have a lot of capital expenditures, new expansion, new projects and - and as you see in 2014 we’re planning to spend about $150 million on capital expenditures. So next year probably would be the same more or less. So we do have a lot of different new ideas and expansions going forward. 
Jonathan Feeney - Athlos Research: Great, okay, thank you very much. 
Operator: Our next question is a follow up from Brett Hundley from BB&T Capital Markets. Please go ahead.
Brett Hundley - BB&T Capital Markets: Thank you. I appreciate it. Mohammad or Richard, you just mentioned CapEx Mohammad. I'm just curious, within some of that CapEx I think you’re doing some farm expansion in the Philippines. Do you have an update on how far along that expansion is?
Mohammad Abu-Ghazaleh : Yeah, we are expanding actually as we speak. I mean we do have the program of expansion and it’s going as per plan. We do have a plan for about 3,000 hectares in the Philippines as we speak and these lands are being planted as scheduled. That’s one side but we do have lot of other projects. We’re just building finishing concentrate plant in Costa Rica, we’re just finishing a new, completely new fresh-cut operations in Japan. We just finished our new DCM fresh-cut operations in Canada and also expansion, new expansion in Dallas as well. So we do have a lot of things going on in North America, outside North America as well.
Brett Hundley - BB&T Capital Markets: Okay. And with your banana expansion in the Philippines, should we expect that production to largely come online kind of middle of next year?
Mohammad Abu-Ghazaleh : We are growing slowly, so our volume will be -- I mean it will not be a significant let’s say volume all at once. But as we grow we expect broadly our volumes to grow by about 20% in 2015.
Brett Hundley - BB&T Capital Markets: 20% out of Asia?
Mohammad Abu-Ghazaleh : Out of Asia, yes.
Brett Hundley - BB&T Capital Markets: Okay. That's helpful. And then tomato pricing while it was weak during the quarter it appears to be very strong now and it seems like this can last for a little while just given rains in Florida and an early end of the California season, I'm just curious if you agree with that statement?
Mohammad Abu-Ghazaleh : That is true. The prices for the last three weeks has been very strong but unfortunately they get strong when you don’t have enough volume. I mean it’s a catch 22 thing, but we started production in Florida is a small way and hopefully we'll run up more significant volumes in the next few weeks and don’t forget that this 2014 was our first year of production beet in Florida or in Virginia and it was a learning curve. I think that we are right as we speak we are right -- on the right path right now and we are hopeful that 2015 will be lot improved from what we saw in 2014.
Brett Hundley - BB&T Capital Markets: Okay. And then just one more question from me Mohammad, I'm just curious of your thoughts on we've heard of a smaller competitor of your launching a branded banana in United State with a favorable marketing story of traceability, vertical integration et cetera and I’ve heard of similar marketing type efforts in the Japanese market and I'm just curious to get your thoughts if there is the ability of the multinational to create more of this in the United State and if that would help with the supply dynamic there and improving margins or if you really don’t think that, that can last in the U.S. market. Thanks for your time.
Mohammad Abu-Ghazaleh :
 : It is easy to grow and you can ship it because we have containers today that's can transport this. But how to market it and who to market it is, is the big question and it’s not a problem to sell when the market is good. It’s the problem when the markets are not good. And that's how I see. So I'm not really -- I wish everybody luck. I mean this is an open market, a free market and everybody can try his luck and that in my opinion, for our business for our case I don’t see it as a threat whatsoever.
Brett Hundley - BB&T Capital Markets: Thank you very much.
Operator: There are no further questions at this time. I’d like to turn it back to Mohammad Abu-Ghazaleh for further remarks.
Mohammad Abu-Ghazaleh : I would like to thank everybody for their patience and being with us today. And hope to speak to you on our next call. Have a good day. Thank you very much everyone.